Operator: Greetings, and welcome to the Solid Power Fourth Quarter and Year-End 2021 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jennifer Almquist, Director of Investor Relations at Solid Power. Thank you, Jennifer. You may begin.
Jennifer Almquist: Thanks, Paul, and thank you everyone for joining us today. Joining me on the call today are Solid Power's Chief Executive Officer, Doug Campbell; and Chief Financial Officer, Kevin Paprzycki. Copies of today's press release as well as the presentation that accompanies this conference call are available on the Investor Relations section of our website at ir.solidpowerbattery.com. Before we get started, I'd like to remind you that parts of our discussion today will include forward-looking statements as defined by US securities laws. These forward-looking statements are based on management's current expectations and assumptions about future events and are based on currently available information as to the outcome and timing of future events. Except as otherwise required by applicable law, we disclaim any duty to update any forward-looking statements to reflect future events or circumstances. For a discussion of the risks and uncertainties that could cause actual results to differ materially from those expressed in our forward-looking statements, please see our most recent filings with the Securities and Exchange Commission, which can be found on our website at ir.solidpowerbattery.com. With that, let me turn it over to Doug Campbell.
Douglas Campbell: Thank you, Jim. Good afternoon, everyone. Today is the first earnings call on our newly established public company existence, and I'm really excited to be here today updating you on our progress. As for today's call, I'll begin with a business update. I'll then pass it over to Kevin, who will take you through the financials and then I'll return with some concluding remarks. It goes without saying that 2021 was a phenomenal year for the company and I'm happy to report that 2022 is shaping up to be an even more successful year. In short, today Solid Power finds itself in a favorable position, thanks to the tireless work of our employees, the unwavering support from our industry partners and the confidence placed on us by the investment community, as reflected in our successful SPAC transaction completed late last year. As a result, we have listened to our key stakeholders and have made some key updates in our approach to product commercialization that can be broadly describe as an acceleration on all fronts in order to take advantage of the very fortunate situation that we find ourselves in today. I'll begin with a quick summary of some of the key announcements and updates that we're making today. Beginning first with earnings, I am happy to report that we exceeded our projected revenues for 2021 and are projecting to meaningfully increase this revenue amount again in 2022. We ended the year with more than $0.5 billion in cash and marketable securities, giving us ample runway and flexibility to invest as needed to be responsive to increasing demand. Second is our infrastructure investments, including our EV line capable of full scale cell production in our second facility, devoted to scaled electrolyte material production, both of which remain on schedule, despite the current climate of supply chain slowdowns. Third is our infrastructure investments, where we have elected to accelerate certain infrastructure investments with the goal of reducing the risk of our commercialization plan as a result of expanded scope and our current customer cooperation agreements, continued strong interest from other potential customers and strategic partners, and inflationary pressure and ongoing supply chain risks that makes investing sooner rather than later, highly advantageous. Fourthly, we remain on schedule with all of our operational targets, including meeting our 2 Amp Hour cell deliverables to our current customers that have already been met and subsequent deliverables will continue throughout the remainder of the year. 20 Amp Hour cell production is ongoing. Preliminary data is being collected in house and deliverables of those cells is still on schedule for the next quarter. Production of our full-scale EV sales is on schedule, based on the current status of our EV line. As such, initial deliverables for these EV cells for later this year remains on schedule. Fifth and finally is technical progress. In terms of self-performance, while we are not conducting a data release at the present time, I am happy to report that we are making progress on every single performance metric. Our build quality on 2 Amp Hour cells is continuously improving, as reflected in our continuously improving measured performance, further 20 Amp Hour cell builds are ongoing, and preliminary data is thus far highly encouraging. Getting into more detailed company update, I'll begin first by reflecting on 2021, which was a transformational year for the company. In terms of operational targets, production of 2 Amp Hour and 20 Amp Hour silicon-based cells was successfully initiated. In terms of infrastructure investments, both the EV cell line and electrolyte production facility were initiated. In terms of commercial partners, we strengthened our relationships with our key development partners, specifically, we expanded our cooperation agreements with both Ford and BMW to reflect the extensive vehicle integration programs that we find ourselves involved in today, and added a new cooperation partner in the form of SK Innovation. In terms of fund raising, 2021 was a year that exceeded our expectations. We closed $136 million series A - Series B financing, I should say, in May, followed by completing our merger with DCRC in December. This was a highly successful transaction, resulting in less than 1% redemptions, providing more than $0.5 billion in capital, bucking a broader SPAC trend, I wish to provide a heartfelt thank you to our shareholders, investors and our SPAC sponsor for their faith in our business model. As we continue to grow and strengthen our team at all levels of the organization, we are being careful to preserve this culture of high standards and commitment to our vision. Looking ahead, 2022 promises to be another pivotal year for Solid Power as we complete our infrastructure investments needed to support formal automotive qualification, which again remains on schedule and kick off automotive qualification by our full scale A sample produced on our EV line which as a reminder, mimics today's lithium-ion manufacturing. By executing on these milestones, we are confident this will lay the groundwork for long-term shareholder value. I'd also like to announce that we have elected to accelerate our investments in our operations, production equipment and product development efforts. I would like to emphasize that this is not a change or expansion and our overarching approach, but rather an acceleration of our previous capital plan, and does not have any impact on our overall capital spend between now and vehicle started production. Broadly, I would encourage you to think about these accelerated investments as increases in our bandwidth in terms of one, accelerating current cell development activities, and two, enabling us to onboard additional development activities with potential new customers as we see fit. The reason for this acceleration is threefold. First, we are reacting to increasingly expanded scope and aggressive timelines from our current OEM partners. We have some very exciting things currently in the works that while I can't disclose details today, I hope to be able to speak to these developments in more detail at some point in the future. Second, there continues to be no shortage of interest from other automotive OEMs and other perspective commercialization partners. While we remain laser focused on delivering to our current automotive OEM partners, Ford and BMW, by accelerating these investments, we believe we will have the necessary bandwidth to support additional co-operations, should they make business sense. And third, given current supply chain constraints along with inflationary pressure risks, we felt executing infrastructure investments sooner rather than later was highly prudent. Broadly, these accelerated investments will enable more flexibility in meeting different customer requirements. Each auto OEM has unique vehicle product offerings and as you might expect, this means unique cell designs. While it makes things easier for Solid Power to try and maintain alignment in cell development activities for as long as possible, establishing flexibility better positions us for expanding our market capture. Similarly, these investments will afford us more flexibility and onboarding new customers, and finally, we believe these accelerated investments will accelerate our product development that ultimately lowers risk with respect to our commercialization efforts. It's important to note, however, that this accelerated investment does not necessarily accelerate our commercialization timeline. As a reminder, we follow the industry standard advanced automotive quality planning or APQP qualification process with well-defined customer processes and timelines. This is a process that all new automotive products go through in order to be specked into a car and this process takes time. Now shifting gears to cell production and performance. We remain on track with the technological development roadmap that we've established. Our development and validation process consists of the following. Step one, R&D delivers to manufacturing of cell design that has met or nearly met all of our automotive specifications. This demonstrates the chemistries fundamental behavior. Step two, validate the cell design in a single layer self-format produced on our pre-pilot line. The smallest cell that we can produce is a 0.2 Amp Hour capacity cell which is merely a single layer in our 2 Amp Hour cell footprint. This confirms that the cell can be produced using lithium-ion giga factory like equipment and processes. Step three, involves validating the cell design in a multi-step format at a relatively modest 2 Amp Hour cell capacity. This demonstrates the ability to perform in a multi-stack cell format and obviously critical step in achieving EV scale battery cells. Step four, the final step achieved on our pre-pilot line is the production of 20 Amp Hour cells, which involves a larger footprint and more layers as compared to our 2 Amp Hour cells. Successfully completing this step demonstrates the ability to produce high quality, defect free, large scale electrode and separator coatings and indeed this is the step where we find ourselves today. Step five, our next and final step, is translating the cell design to an entirely different production line. In this case, our EV line, that is under construction now and which remains on schedule to be fully operational in May, In terms of cell performance, I'll broadly describe our current test protocol and discuss performance in qualitative terms. These are not all the test we conduct, however, these are the key test we use to measure our development progress. Today our standard test conditions consist of evaluating performance at temperatures of 25 degree and 45 degree Celsius. Measured cycle life performance for our 2 Amp Hour cells is thus far very promising and for 20 Amp Hour cells, although much more preliminary is equally promising. While we are not yet at our target charge rate, we are getting very close. Pulse power and rate map - mapping has thus far only been performed on the 2 Amp Hour cell formats, similar to cycle life, the performance is highly encouraging, but areas of improvement are still needed, a very high charge rates in particular. We remain confident in our ability to meet these requirements in future cell build iterations with progressively lower cell resistance. Testing on 20 Amp Hour cells is imminent. Regarding cell stack pressure, let me be clear, we will never have a non-zero stack pressure and frankly speaking, any truly solid-state battery will also likely require stack pressure. The reason that this is not overly concerning for us is, that we have established a requirement with our auto OEM partners that allows for a reasonable stack pressure, while preserving the energy density and specific energy value propositions that all-solid-state batteries are expected to deliver. We currently have an extensive parametric study on stack pressure underway and results are thus far very encouraging as we drive towards our stack pressure requirement. Calendar life testing, which measures the cell's stability at high temperature and thus a measure of whether or not a cell must be cooled in order to deliver on its lifetime requirements, are being conducted at 45 degree and 60 degrees Celsius, and as expected, superior performance to lithium-ion continues to be demonstrated. And then finally abuse testing, on 2 Amp Hour cells is continuing by an external commercial testing house. Results are consistent with what we have previously disclosed and testing on 20 Amp Hour cells will be initiated in quarter two. The bottom line for performance status that we remain confident of our ability to enter APQP, what is essentially a sample validation later this year based on measured performance on production line bill cells versus our OEM derived requirements. While we are not releasing data at the present time, we plan to do so only when we can have a truly comprehensive data package and this does not necessarily happen on a quarterly basis. To add further, our definition of a comprehensive data package consists of the following. One, data collected on relevant scale cells manufactured using proven scaled production methods and equipment, thereby reducing manufacturing risk. As I say over and over to our team, we think it is critical that cell performance is measured when it can be produced at scale and in a cost effective manner. Two, is data collected using fixed an industry standard test conditions. Three, is data collected on a sufficiently large sample set and with relatively low data variability between samples. And then finally four, is data collected on cells where the full bill of materials is known and disclosed, again, so as to provide confidence to investors, customers and industry stakeholders. Now, why are we making this decision? Solid Power has and always prided itself at its honesty and transparency. We do not want to compromise on our ideals and release what I will refer to as half-baked data, wherein one or more test variables may be compromised or varied between tests, that ultimately result in confusion at best and be misleading at worse. Further, it's important to keep in mind that what's important to our industry partners may not be what the market perceives to be important. Also what's important to our partners is sometimes proprietary to those partners, such as their unique cell and pack specifications. And at the end of the day, we believe that the ultimate judge on Solid Power's progress is our customers and partners. While our industry partners have made many public statements regarding their support to Solid Power, I would like to draw your attention to a statement made by BMW's CEO Oliver Zipse just last week at their annual conference, and I quote, we are collaborating with the best tech players in all regions of the world and with partners from other industries. When it comes to all-solid-state batteries, we believe we have the strongest partner in this field with Solid Power, end quote, I cannot think of a stronger endorsement of Solid Power. So in short, we believe our technical progress is continuing at a very good pace. There are still some improvements needed, specifically in high charge rates, low stack pressure and very low temperature operation, but we remain confident of our ability to meet all of our performance specifications. This combined with our approach of using industry standard lithium-ion manufacturing processes and equipment, thereby enabling us to leverage all of the massive CapEx investments for lithium-ion production that have been made or contemplated to be made, we believe greatly helps in reducing risks related to our commercialization strategy. Now switching gears to our infrastructure investments, beginning first with our EV line, which I'm happy to report is on schedule to be operational by next quarter. As of today, the dry room has been erected and is nearing completion. I'll refer you to images that we have in our accompanying slide deck. The EV-line equipment is in place and we are going through acceptance testing with the vendor as we speak. The fact that we started construction on this line in late 2021 and we are already nearing completion, is a testament to the strong planning and execution by our team. Unlike our current highly flexible pre - pilot production line, this EV-line is designed to produce only EV scale cells in a relatively high throughput manner. We currently expect our first full-scale EV cells to roll off this line in the second quarter. These initial cells will be used for internal testing and refinement prior to deliver to our OEM partners later this year. Our second infrastructure investment, which is our second facility, largely devoted to scaled electrolyte production, is currently undergoing construction, facility occupation, electrolyte powder production validation, and production at full rate will be performed throughout the year. As we continue to drive towards these operational and technological targets, we will also continue growing our team and laying the groundwork for success as a public company. We are cognizant of the trust our stakeholders have placed in us and remain committed to delivering value but also meeting the high standards we are setting for ourselves. Needless to say, 2022 is going to be another busy but pivotal year for Solid Power. We are energized by our progress in the large and valuable opportunity in front of us to build on our leadership position in the industry. With that, I'll pass it over to Kevin. Kevin will take you through our 2021 financial results. Kevin?
Kevin Paprzycki: Thanks, Doug. I'm going to start out with some color on the '21 results we announced this afternoon, and then walk through our 2022 financial outlook. So the team's credit, our '21 financial results came in very close to the plan Solid Power put together. 2021 revenues came in slightly ahead of expectations, up roughly $600,000 from the previous year. This was driven by higher revenue on our government contracts where we received grants to fund our research and development. 2021 operating expenses were $29.3 million, compared to $13.7 million during the prior year. This increase was driven by a higher level of development spending, which is primarily labor, materials and supplies. Our increased expenses also included slightly higher costs as we prepare to become a public company. During the year, we also recognized a noncash gain related to the fair value of our warrant liabilities for $51 million and a loss of $3.6 million related to the termination of a manufacturing rights agreement back in early '21. These items resulted in net income for the year of $18.1 million, which was again very close to our internal projections, if you factor out the mark-to-market gain and termination loss. Looking in our liquidity, our successful series B and SPAC financings put our balance sheet in a very favorable position. We ended '21 with combined cash and marketable securities of $589.3 million. This was inclusive of net proceeds from the merger of $495.3 million. Our '21 cash used in operations was $25.4 million and our total capital equipment investment for '21 came in at $12.6 million. This was actually a little lighter than we expected with some of our late '21 capital spend falling into early '22. Shifting to '22, we are initiating high level revenue and cash flow guidance, solely for the coming year. Starting with our topline, we expect the '22 revenue will grow to the $3 million to $5 million range. This growth represents increased collaboration with our commercial and government partners and represents a mix of both new and continued R&D contracts. As Doug alluded to earlier, in '22, we are accelerating the investment in both capital equipment, as well as in our development efforts. Both will be above the '22 levels in our original operations plan. We're excited about this accelerated timeline and believe what we are doing, will drive returns and benefits for shareholders. We currently expect our '22 total combined cash investment to be in the range of $150 million to $170 million. Breaking this down, we expect between $85 million and $95 million of CapEx during '22. Roughly two-thirds of our total capital investment for '22 relates to equipment purchases that we have pulled forward from future years. All of this accelerated investment represents equipment that was always in our operational and developmental plan. We are just simply moving at a faster pace. The remaining $65 million to $75 million of our '22 cash investment represents operational costs. Along with the accelerated equipment, we are also accelerating our development efforts through the hiring of engineering, manufacturing and development personnel and of course, the related development materials, those teams will utilize. A small piece of our operational cash also represents Solid Power's expected cost of being a public company. I want to step back from the numbers, just to, again to recap the returns we see on these investments. First, it's important to keep in mind, we follow an industry standard automotive qualification process with well-defined customer processes and timelines. This is a process that all automotive suppliers go through to get their products into a car and it simply takes time. These additional near term investments do not speed up our expected timeline to commercialization. However, they do speed up our development timeline, allowing us to improve our production volumes as well as our product quality and consistency. These investments benefit both electrolyte production as well as battery cell production. This acceleration in capital and operating investments was done for four primary reasons. First, it allows us to meet a greater scope of demands from our current customers and partners. Second, it positions us to add additional partners when we are ready. Third, it lowers future revenue risk. And lastly, it reduces risk in our operations in the midst of worldwide supply chain challenges. With that, I'll hand it back to Doug.
Douglas Campbell: Thanks, Kevin. In closing, I cannot overstate how extremely proud I am of what the Solid Power team has accomplished and I am very confident of the path forward. We have positioned Solid Power as a leader in the development of truly all solid-state batteries, thereby well positioning us in a market that is poised for growth. We are building our business for the long term with an eye on long-term returns. We have a unique business model, focused on becoming the industry leader in solid-state battery materials, while simultaneously monetizing our solid-state battery cell products through commercialization partners. Lastly, and most importantly, I want to thank our employees, development partners and customers for their efforts and unwavering support. And with that operator, we will now take questions.
Operator: [Operator Instructions] Our first question is from Mike Shlisky with D.A. Davidson. Please proceed with your question.
Mike Shlisky: I wanted to ask first, maybe about the new protections for cash usage for the CapEx, et cetera. I understand that it's some - this is going to happen earlier than expected or earlier than initially anticipated. I've tried to model out all the way through 2028 or a few years out from here, what year should I take these expenses out of and put them into the 2022 outlook? Is it a - at the end, being pushed forward or is it just 2023 going to 2022, what's the right cadence now, looking ahead?
Kevin Paprzycki: Great, great question, Mike. Most of these accelerated CapEx are coming out of '23 and '24. But I want to emphasize that when you look at our long-term plan, all the way out through '28 and again, we're not going to guide here on the future years, but there's zero increase here. It's merely just an acceleration with most of that coming from '23 and '24.
Mike Shlisky: Okay, great. Maybe for my follow-up, maybe you guys can comment on current events and what's happening out there in the world of raw materials. I guess, I'm curious just a conflict in Ukraine and the price of nickel and other materials, have anything to do, have you got any additional inquiries from customers based on what could be rising lithium-ion battery costs and do any of the materials in your electrolyte, actually - the - do they consist of any materials that are found mostly in that region of the world?
Douglas Campbell: So, I guess several questions in there. Beginning first with, obviously, the rising cost, especially in nickel has not gone unnoticed. For us, because we're more in the development phase, at least in the near to mid-term, the cost of nickel and of course, associated with that cobalt, are less impactful and that's just merely an artifact of we're just not procuring nearly to the degree of volumes of materials that for example, the established Tier ones are. Again, that is in the near to mid-term. Now that being said, assuming that these cost pressures continue out to when we were at sales started production and vehicle started production, with our generation-one cell will have really the same exposure to those costs, because again, we're using the same nickel and cobalt cathode active materials. Now for the long term, on the R&D side of the house, we have a fairly robust activity right now around developing a non-nickel, non-cobalt cathode active material, that is essentially made up of very, very abundant and low cost materials. Now, again, it is R&D, so it need some further development. But, assuming we are successful and this is really why I personally am so excited about this, that could obviously eliminate those - that cost exposure, risk exposure, to those nickel and cobalt costs in the future. So again, we philosophically do have a long-term vision of looking to displace that nickel and cobalt containing cathode active material, again, with extremely low cost earth abundant materials, that by the way the reverse-ability of those cathode materials is unique to the solid phase. So in other words, in a traditional liquid or gel that would not be a rechargeable so. I think you were asking about, do we source some of our precursor materials? I think you were referring to specifically Eastern Asia. The short answer to that is no, we do not.
Operator: Our next question is from Gabe Daoud with Cowen. Please proceed with your question.
Gabe Daoud: Afternoon, guys, and thanks for all the prepared remarks. Super helpful, and Kevin. Doug, maybe just starting with the cell stack pressure, you mentioned obviously, a cell will never have zero non-stack pressure. It's not really concerning, but could you maybe give us a sense of what an appropriate stack pressure would be and then how much would it differ, I guess, across your various OEM partners?
Douglas Campbell: Yes. Well, I can't give you the expect - the exact stack pressure requirement, because that's a metric, that's not mine to give. That is proprietary to our OEM partners. It was not pulled out of somebody's back pocket. I assure you. It came about through fairly extensive effort and interfacing with primarily their module and pack teams. But as I said in the prepared remarks, what it really is, just kind of a balance, a balance between allowing for reasonable stack pressure. So we're not talking ridiculously high - sky high stack pressures, but more of a reasonable stack pressure, but one that is sufficiently low enough that any parasitic mass or volume that is required at the pack level, doesn't have - has largely negligible effect on the massive volume of the EV pack. And so, it is an area we're watching very closely. As you would expect, this is something that it would be very important to our OEM partners. And we are - we're really liking the trajectory that we're on, as we start to drive towards that path - I'm sorry, that stack level requirement.
Gabe Daoud: Got you. Okay, great. And then I guess as a follow up, could you remind us where electrolyte production capacity sit today? I think maybe, entering this year you're at 2500 kilograms, but - and I guess, just on the back of the acceleration in CapEx, I guess, where does that figure go to by the end of the year?
Douglas Campbell: Yes, so just to be clear, the 2500 kilograms per month, that is what we will have later this year when our - we call SP2 Solid Power 2, when that facility is fully operational. So right now, the only electrolyte production is being performed in our current facility, and that's a relatively modest, 150 kilograms per month. So once SP2 is fully operational, that's when we'll be in a position to produce the 2,500 kilograms per month. In terms of what the accelerated infrastructure investments gets us with respect to the, what I'll call, next stage of production, I can't get into specifics, but what I can say is that, these investments really do lay the foundation for what I call the next, next stage of electrolyte production. And again, we believe, in terms of schedule, it significantly helps to manage risk.
Operator: [Operator Instructions] Our next question comes from David Bell with Wolfe Research. Please proceed with your question.
David Bell: Hi, Doug and everyone, congrats on the year. Just a quick question. Could you comment on the development progress that you guys have made at least over the last quarter to enable your 20 Amp Hour cells to meet at least all the same specs that the 2 Amp Hour cells are meeting? What progress has been made either on improving the material itself or the cell design?
Douglas Campbell: It's all process quality improvement. So the big item, you have to realize is, that when we produce - when we do a 20 Amp Hour run, we're doing coatings not measured in meters, but in kilometers. And so as you can imagine, the level of quality that we have to meet, goes up quite a bit. And so that's really been where a significant amount of our focus over the last quarter has been on those process quality enhancements. And by the way, that touches everything from powder production to slurry production, slurry composition, and then of course, into the quality of the coated layers themselves, making sure we have as close to porosity free in the layers, very, very tight thickness tolerances, et cetera. And again, that is consistent, by and large, with our belief, which has been the majority of the performance gains are not necessarily going to come from new materials, not to say that we're not always investigating new materials, but by and large, when it comes to large format cells, it's all about process quality improvements.
David Bell: Thanks, Doug. And my other one is on your earlier comments regarding the ability to increase bandwidth. So, I believe we've talked about 2500 kilograms in months. Could you walk through, is there going to be an additional acceleration beyond that at this facility? Have you thought about allocation? Is that what you mean, when you have increased bandwidth? Are you going to be able to bring on more partners when you start producing this amount of material?
Douglas Campbell: Yes. So the bandwidth is more related to cell development activities, 2500 kilograms per month. I mean, that number was decided upon, because it's more than sufficient to support multiple OEMs through the next stage of cell qualification, but also reserving materials for early-stage supply contracts. Where I talk about the bandwidth constraints, it's really more on the cell design. And as I said in my opening remarks, as you would expect when you're supporting multiple auto OEMs, that for better or worse, their cell designs diverge, and it just sort of makes sense. I mean if you look at our two partners; BMW and Ford, I would say they're pretty wildly different product companies. Ford, focusing mostly on large trucks and SUVs. BMW, focusing largely on performance-based vehicles. And so, when you distill that down into the requirements, you want to get out of your cell, it diverges quite a bit. So when I talk about limited bandwidth, it's really more on the cell development activities. And that's really where these investments are going to benefit us.
Operator: Our next question comes from Vikram Bagri with Needham & Company. Please proceed with your question.
Vikram Bagri: Good evening, everyone. For the first question, I wanted to understand the background behind accelerating the capital spending. Was it after looking at the results of 2 Amp Hour and 20 Amp Hour cells? And did your partners have an opinion on the acceleration of CapEx and development activity? It appears that the results were very promising as you indicated in your prepared comments and they warranted sort of accelerated development. Am I right in saying that?
Douglas Campbell: Yes, I mean, I sort of teased it in my opening remarks. Look, we're now - we are now - we now have expanded scope. And so, as you would expect, our OEM partners are leaning in even more heavy. And so they would like to see nothing more than developments accelerated. So, I think it goes without saying that absolutely we have full support from our OEM and industry partners for this acceleration, because frankly, this fits their needs.
Vikram Bagri: Okay. And then in terms of, you said there are couple of areas where you need to see some level of improvement and challenges. Where do you see most room for improvement in terms of performance at high charge rates, lower temperatures and so forth? Where do you see the most challenges coming from and most room for improvement?
Douglas Campbell: Well, I mean, it - I guess, one of the encouraging things is that the pace of advancement in technical - in the measure technical performance, has not slowed at all. And so that's obviously very encouraging because that shows that there is still significant headroom, in terms of where we can advance performance and where we stand today is actually - our data is actually already as of today fairly impressive. But again, in the spirit of full transparency, we try to be relatively open in terms of where we still need to make specific advancements. I talked about, in particular, high charge rates, as well as doing so under low stack pressure. I'm liking the trajectory that I'm seeing. I'm very, very encouraged. Broadly, these are all related to generically reducing cell resistance, which for us typically comes through, as I stated, in the other answer to the question, typically - most typically comes through process quality improvements, really up and down the entire process. So hopefully that addresses your question. It really just comes down to addressing cell resistance that allows us to hit higher and higher charge rates and lower and lower stack pressure. Now I want to be clear, we're not talking orders of magnitude off from performance metrics. We're talking, we're already in the ballpark.
Operator: Thank you. There are no further questions at this time, I'd like to turn the floor back over to management for any closing comments.
Douglas Campbell: Well, I would just like to thank all the listeners today. Hopefully, you got some value out of the update here. And so now, we've got our first earnings call under our belt and we look forward to a fairly good cadence of these kinds of updates. And so with that, we wish everyone a pleasant spring and look forward to speaking with you in the not too distant future.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.